Operator: Welcome to the RWE Conference Call. Bernhard Guenther will inform you about the developments in the first three quarters of fiscal 2014. I will now hand over to Stephan Lowis.
Stephan Lowis: Yes, thank you. And good afternoon to everyone who has joined us today, via telephone or webcast, for our results presentation for the first nine months of 2014. I'm joined here by Bernhard Guenther. He will give us a brief update on the main topics of the third quarter and on our financial performance in the first nine months. We will speak to our tried and tested format and keep the presentation short in order to leave as much time as possible for your Q&A and with this I will like to hand over to Bernhard.
Bernhard Guenther: Yes, thank you, Stephan, and good afternoon from me as well. Let me start with the key developments, since the end of June this year on Slide number 3. The financial performance in the first nine months is in line with our expectations. We also confirm our group outlook for 2014. Regarding the disposal process of RWE Dea, we are working on the closing of the transaction. However, certain approvals of third-parties are still outstanding. Whether we will be able to finalize the discussions on these in 2014 is currently open. This has no impact on our guidance for recurrent income because we will include the pro-rata interest on the purchase price in the recurrent net income with the full year numbers. Please understand that we cannot be more specific on the Dea transaction at this point in time. For the UK capacity market, National Grid announced in the middle of October which power plants have qualified for the upcoming auction process. RWE has qualified with the total capacity of 8 gigawatts. A list of the individual plants is provided in our back-up section on Page 13. The first auction will take place in December this year and refers to the period from October 1, 2018 to September 30, 2019. You will find more details on the process in our interim report. All in all, the UK’s decision to implement a capacity market is the right step in securing sufficient generation capacity at any given time and to make conventional power generation economically viable again. But it is currently too early to make specific forecast about earnings implications. So what is the current status of the discussion in Germany about a capacity mechanism? It is still open whether the German government wants to go for a reformed energy only market or a capacity market and what the potential capacity market could or should look like. The time-line of the Economy Minister has the following milestone. At the end of October, his ministry published a Green Book. It simply outlines the different alternatives and gives an indication of what the ministry is inclined towards at present. The tendency is towards a reformed energy only market in combination with a strategic reserve. The Green Book will be the basis for the discussion in the cabinet at the beginning of December. It will be followed by a White Book, which scheduled for spring time next year and which will give more clarity on the detailed plans of the government. The further time line is that a new law could be in place by spring or summer 2016. After this brief excursion back to our milestones, at energy we have taken a further step in line with our asset-light strategy to grow the business and exploit our project pipeline. At the beginning of September we sold 85% in the offshore wind projects Nordsee one, two and three, to Northland Power. As part of this strategy we are able to work on large scale projects without having to dedicate huge amounts of our funds to these projects. Furthermore, as part of our renewal strategy to concentrate on core activities we have sold our 80% stake in the Enna biomass project to Fri-El Green Power. Energy will focus in future on electricity generation from wind and hydro. The key performance indicators for operational business shown on Slide 4 are in line with our expectations. Let me remind you of the special treatment of RWE Dea in our recurrent net income which I explained in our H1 call in August. The recurrent net income of RWE Dea is still included in the group’s recurrent net income for 2013, but not for the first nine months of 2014. In 2014, we will include the pro rata interests on the purchase price in the recurrent income with the full fiscal year numbers. Cash flows from operating activities show a more favorable development. I will explain the details in a minute. Net debt is still in the same order of magnitude as of the end of last year. It will come down significantly once we have closed the Dea transaction. Here also I will provide more details in a minute. Slide 5, shows the earnings development in the individual divisions. All in all, we see an expected decline of approximately €1.3 billion. By far, the biggest effect is the absence of the one-off payment from the Gazprom arbitration ruling last year. This accounts for approximately €1 billion. In our CEE/SEE division the operating result deferred by approximately €300 million. This is to a large extent due to the deconsolidation of NET4GAS which contributed €171 million to earnings in 2013. Furthermore, we are suffering from the deterioration of realized market spreads in the conventional power generation business and negative weather effects mainly in our supply businesses. This can only partly be offset by our efficiency improvements. For more details on the individual value drivers I would like to refer you to the back-up section and our interim report. Let’s have a closer look at our cash flow from operating activities on Slide 6, which show a more favorable trend than our earnings. While EBITDA is down by about €1.3 billion cash flows from operating activities have increased by €0.3 billion. This discrepancy is among other things mainly due to two reasons. Firstly, we’ve received a repayment of nuclear fuel tax of approximately €0.5 billion. After the end of fiscal quarter, decided in April in our favor we were refunded the tax that we had paid for our Emsland nuclear power plant. This is only cash flow relevant as within our P&L. We have to build the provision from the nuclear fuel tax until we have the final Court decision on the legality of the tax. We received a decision for our Grundremmingen plant in our favor from the Fiscal Court in Munich at the end of July. But we have not yet received the payment, as we are still in discussion with the authorities on how to provide collaterals or guarantees. As a result, there is not yet a positive impact on our cash flow. Where we stand regarding the main cases on the nuclear fuel tax? We still expect a decision either by the European Court of Justice or by the Federal Constitutional Court sometime in 2015. There was a hearing at the European Court of Justice on the November 4, which still leaves the final decision absolutely open. The next milestone will be the conclusion by the Advocate General, which is scheduled for the February 3, 2015. But please bear in mind this will not be a decision and the conclusion from the Advocate General is not binding for the European Court of Justice. So, that’s all on this topic, and back to our cash flow comments. The second reason for the different trends between cash flow and earnings is high-advance payments and the fact that the mild weather led to a lower increase in our accounts receivable. In other words, while the mild weather is already reflected in revenues it’s not yet to the same amount in the cash flow. As you can see from the slide these effects led to a significant positive free cash flow. Let me remind you, that one of our prime targets is to become free cash flow positive, post CapEx and dividends from 2015 onwards. Slide 7, shows the development of our net debt, although we were able to reduce our net financial debt by approximately €2.3 billion to approximately €8 billion. Total net-debt remains stable at €30.7 million. This is due to a negative effect from the change in pension, nuclear, and mining provisions of €1.9 billion. Out of this, €1.7 billion, as a result of the change in pension provisions, mainly driven by the change in discount rates from 3.5% to 2.5% in Germany, and from 4.3% to 3.9% abroad. This brings me to our outlook. Slide 8 repeats the outlook for the group, which we provided in August. It is still valid. The outlook implicitly assumes that the fourth quarter will be quite strong compared to the current earnings trend, and the fourth quarter last year. This is explained by three main factors. First, recurrent net income for the first nine months of 2014 does not include any contributions from RWE Dea, but the full year numbers, we will include the pro rata interest on the purchase price. Second, the trading/gas midstream had quite a negative earnings development in Q4 2013, which we do not expect this year. Third, although we have lowered the outlook for the supply UK division, we still expect the fourth quarter of 2014 to improve compared to the fourth quarter of 2013. This is mainly driven by the phasing effect of the ECO program and the crystallization of our operational efficiency measures. Slide 9, gives the divisional outlook. The trend of the individual divisions we gave in August can be confirmed with one exception, for oil supply UK division, we now expect earnings to be significantly below 2013. The weak earnings development in the first nine months cannot be offset by the expected strong fourth quarter. With this let me hand over to Stephen to start the Q&A session.
Stephan Lowis: Yes. Thank you, Bernhard, and I would like to hand over to the operator. And would like to remind you on our prudent two questions only rule, please.
Operator: Thank you. The first question comes from Benjamin Leyre. Your line is now open, please go ahead, sir.
Benjamin Leyre – Exane BNP Paribas: Thank you, and…
Bernhard Guenther: Benjamin?
Operator: One moment please. Your line is now open.
Benjamin Leyre – Exane BNP Paribas:
 :
Bernhard Guenther: Yes. Hello, Benjamin, on dividend there is no news on our dividend guidance in whatever respect, so we are still sticking to our guidance of recurrent net income between €1.2 billion to €1.4 billion and payout ratio of 40% to 50%. And as I stressed on various occasions during my speech, it’s we will include the pro-rata interest for the Dea purchase price with the full year numbers. So this is included in the recurrent net income guidance. I am not sure, because the line was very bad, if this answers your question completely, otherwise you have to check back on free cash flow guidance 2014. We obviously have a very positive development in free cash flow and certainly we cannot exclude that we might to turn free cash flow positive post-CapEx and dividend here already in 2014, but please bear in mind that this contains a significant spillover effect that I described due to the warm weather, where the revenues already to reflect the lower earnings out of the warm weather situation. Whereas in free cash flow, we are still charging the old lump sums to end customers, which were determined after pretty cold year 2013 and this is only going to catch up duing 2015.
Benjamin Leyre – Exane BNP Paribas: Thank you.
Bernhard Guenther: Okay. Thanks, and next question please.
Operator: Thank you. The next question comes from Vincent Gilles, Credit Suisse. Your line is now open. Please go ahead sir.
Vincent Gilles – Credit Suisse: Yes. Good afternoon, everyone. Sorry, I am going to labor the points on Dea, but created a vivid term into there, with your statement. What I am trying to understand two things, and that’s my first question. First, what prompted you to put down on paper all the doubts that you seem to have around the completion of the transaction? And in order to try to make sure I understand, everybody will probably have the same question, are you telling us, you’re confident the deal will be completed at some stage, or you’re telling us you are not confident it will not be completed into a negative by the end of 2014? So what is your degree of trust in the completion? And the second question is can you explain to us the €2.3 billion of swing in working capital in more details, please?
Bernhard Guenther: Hi, Vincent. Starting with Dea, the reason why we also put on paper as you phrased it, so yeah, the timeline or some doubts on the timeline is the deck issue. I mean, that’s well known, so that’s all – but as you know the deal hinges on certain approvals by third parties i.e., governments and therefore we cannot be certain that we complete these talks and therefore the deal in 2015, that’s the main reason. And in terms of confidence, I mean, of course, what we wrote down clearly states that we are not 100% sure, that we will conclude the deal in 2014. But what’s very important both sides are working very hard and very constructively together to come to a closing of the deal as soon as possible. And given that, I’m confident that we will have a deal, if not in 2014, then later. With regards to the swing in working capital, it’s basically two issues. The one is the weather phasing issue or the spillover issue between cold 2013, warm 2014, and then being only catching up – catch-wise only in 2015, which I mentioned before as an answer to Benjamin’s question. The other one is that we embarked onto a pretty aggressive networking capital optimization program, i.e., reduction program in 2014, which of course, improved our numbers in comparison to last year.
Vincent Gilles – Credit Suisse: Bernhard, so to keep you on these – could you give us sort of rough idea of how much is the reduction in working capital requirements and how much would be the what you call the spillover?
Bernhard Guenther: We are – I mean, it is a quite a significant number but please bear in mind that, I mean, this as you know how cash flow is defined that this is a kind of one of the improvement below and you show up once in cash flow and then you have to stay at this new reduced level of working capital every year thereafter in order to stay at the same level but the cash flow will only show at once. It’s – yes, it’s mainly the issue and the amount of the working capital optimization is quite significant. As you can see from our balance sheet we carry a significant amount of working capital and some of them like for example carrying CO2 certificates over the year-end or so is something we can optimize quite easily.
Stephan Lowis: And also what we show here already in the working capital is part of which we call third way. So I would ask you and all the other participants to give us time until March to present the whole picture, but positive effects is already see – or you can see in the 2014 numbers.
Bernhard Guenther: Yes, what we observe in the 2014 cash flow is a bit of a pulling-forward some of the positive effects that we had earlier scheduled for 2015. So this is in that respect good news but some of the effects like net working capital on below only show up once in cash flow.
Vincent Gilles – Credit Suisse: Thank you very much.
Stephan Lowis: You’re welcome. So next question, please.
Operator: The next question comes from Nathalie Casali, JPMorgan.
Nathalie Casali – JPMorgan: Hi, good afternoon. My first question is – sorry, again on the working capital that in the presentation it’s mentioned that there is a significant impact from the reduction in huge inventories. Could you just explain that a little bit more? Is it really a one-off because of the switched phase 3? Is it something that could revert next year? So that’s the first question. The second one is on Dea, and I appreciate what you said at the beginning of the call. And you said you’re pretty confident that you’ll have a deal. The question is how confident are you that it will be same perimeter as what was agreed in March. I mean, are there any discussions on carve-outs or price adjustments. Thank you.
Bernhard Guenther: Yes, on working capital in terms of the reduction of CO2 inventories. I mean it’s like the reduction of any inventory or storage right on your balance sheet. You see it once in cash flow as a working capital improvement and then you are on the new level like any coal stock reduction or spare parts inventory streamlining. So it’s cash-flow-wise it’s a one-off here. Of course, it brings the balance sheet on to a new lower level of working capital utilization which is, of course, positive in terms of capital efficiency. Do we expect this to revert in 2015 or later years? No we don’t, if you meant to be permanent in that respect. On the Dea deal, please understand that we don’t want to be more specific on the closing of the deal than what we have announced so far.
Stephan Lowis: Nathalie, can I say thank you or I know that second question, I guess, you didn’t expect any more details I would say.
Nathalie Casali – JPMorgan: Okay. So that gives me the right for a third question, I think. I’ll come back.
Stephan Lowis: A quick one, a quick one, new rule.
Nathalie Casali – JPMorgan: Okay. Thank you very much. It’s a straight forward one. It’s on the pricing for your hedging. So I think there is a – there was something in the e-mails sent this morning. Are you able to maybe give a bit more color on the level of pricing because it says, sort of below 45 for 2015, below 40 2016, if you could maybe give a bit more color? Thank you.
Bernhard Guenther: No, we – unfortunately, we don’t want to be more specific than what we have already given as information. Sorry.
Nathalie Casali – JPMorgan: Okay. Okay.
Stephan Lowis: And that doesn’t allow for fourth one, yeah, so…
Nathalie Casali – JPMorgan: No, thank you very much. Thank you.
Stephan Lowis: Okay. Thanks. Next question please.
Operator: The next question comes from Peter Bisztyga, Bank of America.
Peter Bisztyga – Bank of America Merrill Lynch: Hi, good afternoon. Firstly, can I just ask a hypothetical question? If the Dea disposal does fall through completely, the rating agencies put you on review for downgrade do you have a plan B for the balance sheet and if so what is it please? And then my second question is what do you think the outcome will be from the German decision on the 2020 climate protection action plan? There’ve been some headlines suggesting that some members of the government want your coal and lignite plants closed.
Bernhard Guenther: Yes, hi, Peter. On Dea, there unfortunately, I have to repeat again my response to Nathalie’s question, so please understand that we don’t muse publically on any alternative scenarios. As I said, we are working on both sides to complete the deal, that’s I think the most important and most encouraging aspect that currently is observable. And on the 2020 perspective of the German government and the climate change prevention plans, currently there are many ideas ventilated in Berlin and also quite opposing ones from within the same government. So we are, of course, keenly observing what’s happening there but so far it’s far too early to draw any specific conclusions from which way it will ultimately go.
Peter Bisztyga – Bank of America Merrill Lynch: Okay. Thank you.
Stephan Lowis: Peter, okay, thanks then. Next question, please.
Operator: The next question comes from Patrick Hummel, UBS.
Patrick Hummel – UBS: Yes, hi, good afternoon. I would just like to follow up first thing on the German policy debate. I mean, clearly the economy minister doesn’t seem to support any sort of mandatory coal phase-out, but at the same I wonder with the carbon targets miss that we will probably see in Germany for 2020. Is there any realistic chances in the still ongoing market-design debate that lignite in particular or the older dirtier hard-coal stations could benefit at all from any sort of capacity remuneration in your view. And the second question, just to clarify a bit, on the segment modeling the poor result we’ve seen in the UK, thinking a bit ahead into 2015, there’s going to be a tariff freeze, and I’m wondering what the adequate base level is for modeling these forward, would do you see any further downside risk in 2015 on the back of the tariff freeze or is there any chance of recovery compared to the 2014 levels? And also another segment, Germany, it seems that you’ve made quite some money with the expiry of some concessions with book gains on the back of that. I wonder if we can use the 2014 number still bearing in mind your 3% annual growth guidance for that division in networks. Is 2014 still a clean base to do that, or could we see less growth because you had some inflated numbers in 2014 on those book gains? Thank you.
Bernhard Guenther: Yes, so this was probably two plus questions again, Patrick. But never mind, in German policy and this – I took that your ultimate question was that there any chance or any hope left for lignite or old hard-coal to participate in a capacity market.
Patrick Hummel – UBS: Yes.
Bernhard Guenther: And so, I would say from the current indications we have very much so. Of course, this wholly depends on the assumption that there will be a capacity market. But one tendency which becomes pretty clear also from the Green Book in its current form though, the Green Book prefers the energy only market. The second best option is the – a capacity market along the lines of the de-central capacity market, de-centralized market as proposed by the BDEW. And this is exactly a non-discriminatory capacity market. And therefore, the Green Book is I would say a clear, well, rejection of all proponents or proposals for a discriminatory capacity market. And I think, policymakers at least to some degree recognize that those power stations who really have to rely on a capacity market for a few hours in the year to be available the carbon footprint of those few hours doesn’t play any role in the bigger scheme of things anyway, yes, even if it’s an old and dirty hard-coal plant. Currently in Southern Germany they’re utilizing Austrian oil-fired power plants, but arguably, probably also not the most environmentally friendly to stabilize the grid. On UK and the question there – if 2014 is already below 2013, if this is a trend which we’ll continue into 2015, we – I mean without giving guidance now for this division 2015 and then your colleagues will ask for the other divisions that you have the 2015 guidance for the group. I would say, qualitatively please bear in mind, that 2014 was direct down by a few one-off effects that we had, A, it’s autumn in the UK, we have a weather effect; B, there were certain obligations put upon us by Ofgem in terms of improving our customer service performance, which required one-off costs, which we do not expect to recur in 2015. And therefore this is not – you can’t simply take 2014 as the one-on-one or the trend 2013 to 2014 as a trend to be prolonged, belong – sorry, beyond 2014. On Germany, you rightly observed that the result for German downstream business contains some earnings from the sale of concessions. And this is of course is in the very long run if you sell more concessions than you gain new, this of course, brings your overall asset base and your overall business, but on this scale as we have it her, this is part of our normal operations. And therefore it might also reoccur in other years.
Patrick Hummel – UBS: Okay, so you would say that it’s not wrong to assume that 2015 in that division can show the usual growth that you got for like 3% on operating result level?
Bernhard Guenther: Yes, but keep in mind, when we said that this is a Kayzar [ph] figure.
Patrick Hummel – UBS: Yes.
Bernhard Guenther: So, not the year-on-year, it’s in average figure of about mid-to-long term.
Patrick Hummel – UBS: Okay. Thanks very much.
Stephan Lowis: Yes. Okay, thank you. Next question, please.
Operator: Thank you. The next question comes from Bobby Chada, Morgan Stanley.
Bobby Chada – Morgan Stanley: Hi, good afternoon. Two questions, the first is just on your hybrid debt, I think the first chunk that was issued in 2010 is callable in 2015. What sort of discussions have you had with the rating agencies about that? Is it given that in order to keep the equity credit for the rest of the hybrids, you will swap like-for-like and issue another one, if you call the 2015? And then secondly, on the renewals business, I thought it was quite surprising, that there was another rate down on the Markinch project. I think it’s €75 million – €74 million, €75 million now on quite a small project. The renewables business has been a bit of serial disappointment, what is it or can you tell us what you are doing to try and to improve their performance and whether you can be sure that you’ve drawn a line under the Markinch problems now?
Bernhard Guenther:
 : And I hate to see those impairments hitting our earnings line. And what have we done to perform better in the future. And this is what I mentioned in my speech, it’s the concentration of the business on those areas where we think we are really technically competent or even have an edge on some other competitors, that’s concentrating on wind and hydro. And as you can see from the mixed track record in our renewables investments, biomass is especially – it has an over-proportionate share of problem – in that portfolio and that was one which we now solid Markinch’s and other one.
 :
Bobby Chada – Morgan Stanley: Okay. Thank you.
Stephan Lowis: Okay. Bobby, thanks. Next question, please.
Operator: The next question comes from Deborah Wilkens, Goldman Sachs.
Deborah Wilkens – Goldman Sachs:
 :
Bernhard Guenther: Yes. Hi, Deborah. With regards to the offshore projects, this one page in our back-up, that’s I think accessible to you as well, it’s Page 26. Where we have the timelines for the projects and there you can see that Gwynt y Môr and Nordsee Ost both are scheduled for around second quarter middle of next year to come online too. There is no change in that respect. And with regards to Gwynt y Môr, this is diluting our share there. These are ongoing negotiations and like with Dea, we would like to stick to the principle that we don’t comment on the – inner workings of live deals.
Deborah Wilkens – Goldman Sachs: In terms of the earnings impact variables?
Bernhard Guenther: I mean the overall earnings impact is, of course, the projected earnings growth that we expect on average in the coming years. So from 2014 into 2015 and 2016, the major source of that growth that we expect come from offshore, yes. And as you know we not content to stick around to the level of €200 million that we had last year. And this is far away from earning our sufficient profit and therefore this will be the main driver. But we don’t give specific earnings guidance for the outer years of these divisions. 
Deborah Wilkens – Goldman Sachs: Thank you.
Bernhard Guenther: I mean, – and I think you know the capacity of the installed capacity there. So with some assumptions on bit utilization you can probably make some own guesstimates.
Deborah Wilkens – Goldman Sachs: Yes. Thank you.
Stephan Lowis: Okay, thank you. Then next question, please.
Operator: The next question comes from Alex Karnick, Deutsche Bank.
Alexander Karnick – Deutsche Bank AG: Yes. Hi, thanks for taking my question. I’m going to give it another shot on Dea. I mean, you mentioned to be in very close interaction with your rating agencies on the hybrids. I am sure if you’ve tested with them a bit of sounding what their reaction would be to a complete failure or disposal of Dea, maybe you can give a bit of color, and at least giving it a shot? That’s my first question. Second question is more of a housekeeping one. Notice the very low level of minorities in nine months or Q3, certainly well what I have expected. Would you – or is it fair to assume that the minority level for the full-year 2014 is probably closer to 2013 levels and EPS, could you give us at least from a trend perspective bit of a view, how this could be trending in 2015? Thank you.
Bernhard Guenther: With regards to your first question on Dea and the view of the rating agencies. I think it’s important to understand that we always trust the sale of Dea is not, because we think that it improves very much our rating indicators or KPIs in the short run, yes. So if you look at whatever it will do to net debt over EBITDA or FFO over net debt, Dea is not a breakthrough on those KPIs. It, of course, reduces our refinancing risk, as you know, because we will have the purchase price in our books, and therefore less net financial debt and therefore less refinancing risk. But we don’t want to speculate on what would happen if the deal was so fair closely and to put it clearly, again, this is not our current assumption that the deal falls through completely as I said before. Level of minorities, your rights to observe that – it’s different from what you should have expected. There are few – expected population of few minor effects, and we are not talking large numbers in absolute terms anyway. For example, one small effect is the Hamm a western power plant, where they are is a minority investment in the units key, which is now delayed. And therefore, this is one of the reasons to explain others are smaller participations the minority shareholder, which have been sold or, at least, produce in our share. So it’s not a structural trend.
Alexander Karnick – Deutsche Bank AG: Right. But it does reduce 2014 significantly, and then there is maybe a bit of a trend up in 2015, if I understand correctly?
Bernhard Guenther: So I think, I mean, I'm not sure as I understand your question correctly, because our current indication is for lower minorities, right? And in the full-year, I think, we would compare with our conclusion that the number is going to be closer to 2013, again. So there is no structural trend, I would also extrapolate from that going to the future. On a quarter-by-quarter comparison, you might see more distortions than on a year-by-year comparison.
Stephan Lowis:
 :
Alexander Karnick – Deutsche Bank AG: Fine. Thank you.
Stephan Lowis: Thanks. Okay, next question please.
Operator: The next question comes from Ahmed Farman, Liberum.
Ahmed Bilal Farman – Liberum Capital Ltd.: Hi, good afternoon, everyone. Thank you for taking my questions. Two questions from my side. First on the – again, could you help or share with us the discussions you are having with Dea Port is in Egypt, and how confident you are that you would get the sort of required regulatory approvals from there? The second question is on net debt. Since we remember that from – at H1 you suggested that for the full-year this year, you expected net debt of about 26 billion adjusted for the Dea disposal, which hasn’t changed, although your net pension provisions have gone up by 8 billion, so presumed us, I assume that this has something to do with your cash flow from operations and working capital improvements you were suggesting earlier. Could you just give a little bit more color and confirm that? Thank you.
Bernhard Guenther: Yes, on Dea, and your question with regards to Egypt, here I want to make sure we have to repeat my standard answer, we won’t comment on any specific countries of the transaction. On net debt, your assumption is right that our net debt to guidance for the full-year remains unchanged, despite the increase in pension provisions, which, of course, on a gross basis would drive up and then debt like-for-like because of the better cash flow from operating activities, which includes the working capital effects that I described earlier in the call. So it’s perfectly right, these are the forces at work.
Ahmed Bilal Farman – Liberum Capital Ltd.: All right. Thank you.
Stephan Lowis: Okay. Thanks. And next question please.
Operator: The next question comes from Peter Crampton, Macquarie.
Peter Crampton – Macquarie Capital Ltd.: Good afternoon. Two questions, if I may. First, if you can update us on your current thinking on German power price? And I remember back of the H1 call, you’ve gave a quite confident comment that you think we’re in the process of bottoming out, I wonder if that view still held after the summer? And then secondly, with the UK capacity market auction the one-month away on the December 16. Do you believe that, capacity payments could be high enough to kind of deal with the under earning on the UK generation fleet? Thank you.
Bernhard Guenther: Yes. On the German power prices bottoming out, this was always a statement that we made based on the best pervading fuel prices and the – their respective forward curves of fuel prices. And as you can see from our hedging profile, we do have a view on power prices that and now prevailing to – we don’t see that much further – further downside, but rather more upside, but also to be [indiscernible] we don’t expect a price jump of €3 or €5 per megawatt hour in the near future, although we would certainly be happy to see it come. On the UK capacity market auctions and what does it do to soothe the pain in our ailing UK generation fleet, we think that our power stations are very well positioned in the UK generation step to benefit from the capacity auctions. But at this point in time and given – especially given also the second – the first time that this auction takes place, we do not want to speculate on the specific outcomes, and therefore, we cannot speculate on the specific effects on the profitability of our UK power plants either.
Peter Crampton – Macquarie Capital Ltd.: Okay. Thank you very much for your answer.
Stephan Lowis: Thank you, Peter. Next question please.
Operator: The next question comes from Ingo Becker, Kepler Cheuvreux.
Ingo Becker – Kepler Cheuvreux: Yes. Thank you. Good afternoon. I have a first question on nuclear provisions which are being reset or reassessed annually. In particular, what is driving your assessment of the future escalation rate in the discount rate? I'm wondering if the huge crash that we’ve seen in bond deals might have a different the fact on the nominator and the denominator? My second question also would be on Dea, as you treated in the books, you currently run Dea as soon as the held for sale, but assuming the deal with LetterOne collapses completely, or breaks up in two deals with LetterOne and someone else. Would that affect the way you treat Dea in the books, or are you going to keep Dea as soon as in held for sale irrespective of the LetterOne Dea goes ahead or not? Thank you.
Bernhard Guenther: Yes, hello. On nuclear provisions, as you know the nuclear provisions as opposed to pension provisions, we have – yes, two factors, it’s the discount rate and the escalation rate. And the big questions always dose the effect between the true change or not. And in the current environment, we don’t see an indication for any structural change in that stress. So we clearly have low interest rates, but we also have a pretty low inflation rates in general, and this also applies to the escalation rates we applied to our nuclear provisions. And please also bear in mind that this is nothing we can just determine at our own discretion, and just as we like, but is based on – also on studies by independent engineering firms, and therefore, the degree of freedom and the area is also limited. On the Dea speculation, I mean, this is now a purely hypothetical thing if the deal should fail and Dea has not accounted it as assets held for sale, but as discontinued operations. It is a difference under IFRS, and I'm not an accounting expert in these respect. I would say, if unless, we have immediately the next deal standing in line, probably, we would have to take it out of discontinued operations and fully consolidated again. But this is a purely, what if question, please don’t quote now the RWE CFO saying that the Dea sales and Dea has taken out of them, discontinued operations.
Ingo Becker – Kepler Cheuvreux: Sure, sure. Thank you.
Stephan Lowis: Okay. Thank you. And next question, please.
Operator: The next question comes from Alberto Ponti, SOFGEN.
Alberto Ponti – Société Générale SA: Good afternoon. Two quick questions. The first one is on storage. If you could give us an idea of the trend in storage EBITDA and perhaps a ballpark figure for the first nine months? And the second is given your write-off in renewables and the lower guidance for the UK, I know it’s not an aggregate, but the net income for the full-year is not too big either. Does that mean that the net profit year end is likely to be more towards the bottom of the guidance rather than the top? Thank you.
Bernhard Guenther: Okay. The two tries from [indiscernible]. We don’t guide on EBITDAs of subunits of our divisions, and we won’t start doing that here. There was, of course, this year a negative development reflected in our trading/gas midstream numbers out of gas storage activities. And we have guided that this is a low triple-digit million euro amount that we took to there as a hit. And this is also already mostly reflected in the Q3 numbers you have seen. In terms of the overall outlook for the whole year, we stick to our statement and our guidance without any qualifications, or additions, or specifications, it’s €1.2 billion to €1.4 billion full stop for recurrent net income.
Alberto Ponti – Société Générale SA: Okay. Thank you.
Stephan Lowis: Okay. Thanks, Alberto. Next question, please.
Operator: The next question comes from Lueder Schumacher, SOFGEN.
Bernhard Guenther: Hey, your boys working on the same...
Lueder Schumacher – Société Générale SA: Yes, that’s right. And you would be very pleased to know that these are two more questions, which are not related to Dea.
Bernhard Guenther: [indiscernible].
Lueder Schumacher – Société Générale SA:
 : The second one is on the nuclear n-storage [ph] debate in Germany. Can you just remind us where we are there and what are the potential implications for you?
Bernhard Guenther: Yes, on the MSR and I’m sorry to say that I probably don’t know much more than you do, so we follow what we read in the press. It’s pretty difficult for us sometimes to disentangle what’s actually going on in the Brussels jungle of various opinions, national interests and so on and so forth. And as you can see from some of the recent debates even within the Berlin government, we still have obviously quite a divergence of opinions there. So it’s even a challenge to speak of the German position on something like that. So I mean, I think from an overall perspective, if you want to stabilize carbon price, this is probably one of the more prudent alternatives. In terms of n-storage debate in Germany, there is unfortunately not much progress we can report on that. And after the ambitious goal, the policymakers have said themselves middle of last year that they want to take time to, I think 2031 to come up with accounting plan. They are not really what I would describe as a hurry to make breath taking progress there. And so there is not much happening there. I think they are still discussing how this commission shall be staffed that basically will follow-up on this n-storage search for a shoot-at-sight. And the industry has nominated their members of the – of this commission, but as far as I know, this has not been done by all the other stakeholders. Or are you referring to our claims against some financial fallout from the final storage legislation last year with regards to the Golim [ph] intermediate storage site.
Lueder Schumacher – Société Générale SA: No, I would have thought the loss, used like most nuclear losses does tend to take whatever. It was more or like the n-storage debate, as the commissioning process has started, can’t go on forever. There must a deadline when you decide what to do with it. They can’t remain a medium term storage at the plants wherever if you intend to decommissioning. So I just wondered if there is any kind of definite timeline by which we have come up with response solution?
Bernhard Guenther: No, unfortunately, I mean, that I think 2031 or 2030s deadline, which they set themselves, but even then you never know if policymakers won’t shift this as soon as it approaches dangerously near. My personal take is that currently nobody is really keen on taking any definite decisions there, yes, and potentially then being blamed for them afterwards, so there is a certain degree of risk aversion to put it positively on behalf of policy makers to be observed.
Lueder Schumacher – Société Générale SA: Okay, very clear. Thank you.
Stephan Lowis: Okay, thanks. Then next question, please.
Operator: The next question comes from Adrien Fourcade, Deutsche Bank.
Adrien Fourcade – Deutsche Bank AG: Yes. Hi, good afternoon. I just had a one follow-up question on working capital. I can see on Slide 6 that you mentioned higher advanced payments as contributor to better trends in working capital. I was wondering whether factoring didn’t play a role there, and whether you intend to use factoring in the future?
Bernhard Guenther: Just to clarify, because we are in a bad line, you’re talking about factoring, are you?
Adrien Fourcade – Deutsche Bank AG: Factoring, yes, sale of receivables, yes.
Bernhard Guenther: Yes, so I mean this is an instrument we’re using on small scale, where it make sense economically, but it’s not the main driver behind the change in working capital. So the big ticket items are those that I mentioned like for example carbon certificates or it’s a rock – virtual inventories and that sort of thing.
Adrien Fourcade – Deutsche Bank AG: Okay, that’s very clear. Thank you.
Stephan Lowis: Okay, thank you. And then next question, please.
Operator: The next question comes from Mayan Uthayakumar, Sanford Bernstein.
Stephan Lowis: Okay. [Technical Difficulty] I do apologize for the bad line. Everybody has that one. So sorry, we can’t do anything currently. Go ahead.
Operator: The next question comes from Ingo Becker.
Ingo Becker – Kepler Cheuvreux:
 :
Bernhard Guenther: On renewables, yes, I mean, I said it correctly Engle?
Ingo Becker – Kepler Cheuvreux: Yes.
Bernhard Guenther: Okay, starting with your first question. The famous, infamous earnings flow statement, yes, so I think it’s important to bear in mind that when we issued it last year, we always made it fully contingent on the then prevailing power prices and spreads. So, and we will give an update to what this mean for 2015 with our March analyst conference in due time. And before that, we wouldn’t give any further details. The renewables capital employed I mean you can find it in our annual report on Page number 65 and there you can see that it’s in the order of magnitude of €5 billion.
Stephan Lowis: Okay, Ingo?
Ingo Becker – Kepler Cheuvreux: Yes. So that hasn’t changed materially by now?
Bernhard Guenther: No, I mean, of course, it’s growing at the one side with the completion of the last of offer of wind parts, on the other hand we have been divesting issuances or diluting our shares in some other wind parts, so net-net balance it doesn’t change that dramatically anymore.
Ingo Becker – Kepler Cheuvreux: Okay, thank you.
Stephan Lowis: Okay. Next question, please.
Operator: There are no further questions.
Stephan Lowis:
 :